Operator: Good morning, and welcome to the ODDITY's Third Quarter 2024 Earnings Conference Call. Today's call is being recorded, and we have allocated time for prepared remarks and Q&A. At this time, I'd like to turn the conference over to Maria Lycouris, Investor Relations for ODDITY. Thank you. You may begin.
Maria Lycouris: Thank you, operator. I'm joined by Oran Holtzman, ODDITY's Co-Founder and CEO, and Lindsay Drucker Mann, ODDITY's Global CFO. As a reminder, management's remarks on this call that do not concern past events are forward-looking statements. These may include predictions, expectations, or estimates, including statements about ODDITY's business strategy, market opportunity, future financial performance and potential long-term success. Forward-looking statements involve risks and uncertainties, and actual results could differ materially due to a variety of factors. These factors are described under forward-looking statements in our earnings press release issued yesterday and in our Annual Report on Form 20-F filed with the Securities and Exchange Commission on March 6, 2024. We do not undertake any obligation to update forward-looking statements, which speak only as of today. Finally, during this call, we will discuss certain non-GAAP financial measures, which we believe are useful supplemental measures for understanding our business. Additional information about these non-GAAP financial measures, including their definitions, are included in our earnings press release, which we issued yesterday. I will now hand the call over to Oran.
Oran Holtzman : Thanks everyone for joining us today. The beauty industry is transforming, and ODDITY is leading this transformation. The strength and resilience of our direct-to-consumer model is on full display in this market backdrop. In contrast to most of our competitors, who are experiencing slowing sales, weaker foot traï¬ƒc, and excess inventory, ODDITY is constantly delivering strong and profitable growth. Our third quarter results once again demonstrate how ODDITY is leading in the most important vectors of growth in the global beauty market. First, the massive consumer shift online, where ODDITY is already dominating as the largest direct-to-consumer platform online. And second, the consumer's increasing demand for high performance products Results for this quarter show how our early investments in technology continue to pay dividends, allowing us to deliver yet another quarter of outstanding growth, profitability, and strong cash flows. It creates a positive feedback loop for our business, as we redeploy our strong excess cash flows to double down on investments in technology, science, and building new brands, all of which will strengthen our competitive position and will continue to deliver our future growth. Turning to our earnings results, we once again broke records across our P&L. For the first 9 months of this year, revenue increased 27% to $523 million. We delivered adjusted EBITDA of $135 million and generated $119 million of free-cash flow, close to 90% of EBITDA converted to cash. To understand how strong those results are, this compares to mid-single digit growth for our large-cap competitors. Our numbers show once again the power of online and how strong our model is. As I have said many times before, the consumer shift online is a massive industry driver, and therefore we believe that the majority of the softness in beauty numbers for our competitors is mainly due to channel mix. And it is just the beginning. We believe online will quickly become the largest channel at 50% of the market. Those that told us in early days that beauty can't work online or questioned our DTC sustainable growth see it clearly now when we are one of the only public multi-brand beauty companies that constantly grow revenue over 20%. It is now clear that the power and advantage of our direct-to-consumer model are very deep. We have massive engagement on a daily basis with our users, directly, with no one between us. We have the data to predict which consumers are in the market to buy, and which products they are likely seeking. That direct interaction drives higher consumer satisfaction and enables us to have greater predictability in our business with tons of agility. We are not capped by retailer distribution and how they cycle brands in and out to drive newness. We control our destiny, unconstrained, and therefore, can continue to grow our brands, even in tough market conditions. Our users, their desires and their data are the only things that drive our product development priorities and our launches. No retailers forcing our hand, and no head stylists guessing trends. And this is why we are successful at launching new brands and new products. With our direct relationship, we know what users want, and our product development muscle allows us to create the next winners to drive growth. So this is the huge advantage we have over our competitors with our direct-to-consumer model, and why we will continue to win. I also want to address the questions we hear about the durability of direct-to-consumer. It's very important to understand why we continue to show again and again how our model is different than other DTC models that have struggled. Unlike others, our business is built around acquiring users, not around acquiring customers or acquiring revenue. Our user base today is over 50 million in size, and with the data that users have given us, we understand so much about them. We invest a lot in technology, built an R&D center in Tel Aviv by technology talent from the Israeli tech ecosystem. Our ability to attract top technology talent from the best Israeli Intelligence units is a huge advantage. The tech team is still the largest team in the company, representing approximately 40% of our platform headcount. This technology combined with our user data is the essential unlock to building a profitable online business. Our unit economics work for online. This is why from very early-on our cash flows were strong and enabled large and constant reinvestment in future growth. For other direct-to-consumer businesses, the more they scale, the harder and more expensive it is for them to grow. But for us it is the opposite, the more we scale, the easier growth becomes for us. First, because we are growing with so much repeat. Repeat is over 50% of our revenue and increased as a percent of our mix again this year, even though we continued to grow the business more than 25%. Second, because we know so much about our users, we are able to build the brands and products that they want, and then we build machine learning models to put those new brands and products in front of our users. Higher scale means for us more data, better conversion, and greater share of wallet. All of this has continued to drive strong performance for us. In the last 12 months we generated $621 million of revenue, representing 30% growth, with 24% of adjusted EBITDA margin. We generated $127 million of free cash flow in the last 12 months, taking us to $248 million of cash on our balance sheet with 0 debt, even after returning cash to our shareholders by repurchasing almost $50 million of our stock this year. This is what happens when you add technology to one of the best consumer categories in the world. So this is our opportunity, the advantage of our model, and how we have positioned the business. I will now turn to our growth drivers for 2025 and beyond, and why we continue to be so bullish. The first is our massive global TAM, a $600 billion global market, with so many categories and subcategories for us to enter into. Every year we show that we know how to do it. How to add more new products to capture higher share of this massive TAM. Next is the enormous growth runway of our existing brands IL MAKIAGE and SpoiledChild, both on track to reach $1 billion of revenue overtime, and both are sustaining double digit growth rates today. IL MAKIAGE will cross the $500 million mark this year, which makes it one of a very short list of brands to hit this milestone. IL MAKIAGE and SpoiledChild will continue to drive growth from their existing products, from a pipeline of new products and categories, and from scaling internationally. As you know, up to this point we have been primarily focused on the U.S. where we continue to see high growth runway, and unlike our competitors, we have 0 exposure to China's consumer slowdown. The next driver is new brands, with Brand 3 and Brand 4 ready to launch in the second half of next year, while continuing to add additional brands to our future pipeline. Brand 3 is a direct-to-consumer telehealth platform for consumers with skin and body issues. We have made impressive progress in building the teams, the brand identity, and the product offering, product line and a ton of tech investments including first of its kind vision technology for the brand. Our next growth driver is technology innovation, where we continue to invest significant resources, expanding our teams, improving our algorithms, our computer vision tools and their integration with our platform. There is still a lot of work to be done. New models will continue to expand revenue and margins. And finally, ODDITY LABS to discover new, proprietary molecules to drive product innovation and allow us to launch high efficacy, science-backed products. We are continuing to grow our teams which now totals 60 scientists, with new talent across the bioengineering, computation, chemistry and delivery teams. To accommodate the expansion, we recently opened our new, lab in Kendall Square, Boston. I am fully committed to ODDITY LABS success and believe it can help us become one of the largest beauty companies in the world if we succeed there. With all of these growth drivers we have so much optionality over the long-term, so many different ways to grow. For 2025, we will enter the year with great momentum and strong positioning based on tons of preparation the teams did, like they do every year, to ensure success. I am very confident in delivering on our financial objectives and commitments, which we have done for the past 6 quarters since becoming public, and also every single quarter beforehand. With that I will turn over to Lindsay.
Lindsay Drucker Mann : Thanks, Oran. Let's turn to our Q3 results which I will refer to on an adjusted basis. You can find the full reconciliation to GAAP in our press release. ODDITY delivered another record-breaking quarter across the board. We grew net revenue by 26% in the quarter to $119 million. The strength was driven by both IL MAKIAGE and SpoiledChild across a range of product categories. Net revenue growth was driven primarily by an increase in orders, while average order value increased 9% year-over-year. Average order value growth was driven both by an increase in items per order and positive mix shift to higher priced products like skin, partially offset by a mix shift to repeat sales which carry lower AOV. The 26% revenue growth we delivered this quarter beat our 22% to 24% guidance. This upside stands in contrast to the concerns we hear from investors about weakening sales trends in other beauty businesses, including both wholesalers and retailers. As Oran said, our results are a testament to the strength and resilience of our direct-to-consumer model, and how we've positioned our business to win in the most important vectors of industry growth. In fact, our business is firing on all cylinders. Let me give you some examples of how. Our latest customer cohorts are our strongest cohorts ever. Frequency of repeat revenue in our latest cohorts are the best ever. Repeat continues to increase as a percent of sales. AOV continues to increase, including first order and repeat AOVs, which are our highest ever. We are scaling both brands across a wide demographic of consumers, old and young, high income and low income. Revenue growth is broad based across different categories and products. All of our product vintages are growing. From the 2018 and 2019 product vintage to the 2023 and 2024 vintage. These individual data points of strength are not random and they don't exist in isolation. They are all related. They are the outcome of a platform that is meeting enormous consumer demand, gaining share of wallet, selling more items per order, and layering new product franchises on top of a growing core. This increases our surface area, expands the runway, and drives customer happiness, all of which support a very attractive and durable financial model. Moving down the P&L, gross margin of 69.9% compressed 35 basis points and exceeded our guidance of 68%. We expect further normalization of our gross margin in the fourth quarter towards 68%, which is a level more consistent with our long-term run rate. As a reminder, we don't manage our business to gross margin. We manage our business to direct contribution margin, otherwise known as DC margin. We calculate DC margin as gross margin minus performance media spend. Products with lower gross margin but higher repeat frequency can deliver the same DC margin as a product with a higher gross margin but lower repeat frequency. And this is a trade-off we are agnostic to. As we have said before, our gross margin in 2024 has been coming in higher than what we see as a sustainable rate based on our view of product mix. As a result, we do expect gross margin will compress in 2025 as it normalizes relative to a very strong result this year. We delivered adjusted EBITDA of $25 million in the quarter and adjusted EBITDA margin of 20.8%, above our guidance in absolute dollars and in margin percentage terms. Adjusted EBITDA margin compressed by 112 basis points as we incurred planned incremental expenses in the quarter to drive future growth initiatives, including Brand 3, Brand 4, and ODDITY LABS. The timing of some of these expenses shifted out of Q3 and into Q4, and as a result we expect a bit more EBITDA margin compression in Q4 as those investments flow through. We delivered adjusted diluted earnings per share of $0.32. Our adjusted EBITDA and EPS excludes approximately $3 million of share based compensation. We continue to deliver very strong free cash flow and free cash conversion, a clear reflection of the strength and quality of our business model. We delivered $119 million of free cash flow year-to-date. We repurchased around 1 million shares of our stock in the third quarter for approximately $37 million, and have around $103 million remaining on our authorization. We will remain opportunistic on share buybacks based on our strong cash flows, ample cash reserves, and attractive share price. We exited the quarter with $248 million of cash, equivalents, and investments on our balance sheet and 0 debt. Turning to our outlook. We are once again raising our 2024 full year guidance based on the better than expected third quarter results and a strong start to the fourth quarter. We now expect net revenue between $642 million and $644 million, representing 26% to 27% year-over-year growth. We expect to deliver a 71.5% gross margin for the full year, and we expect to deliver adjusted EBITDA between $147 million and $149 million, which includes a step up in growth investments for ODDITY LABS and our new brands. We expect full year adjusted diluted earnings per share will be between $1.85 and $1.87. Turning to the fourth quarter outlook. We are off to an excellent start and are pleased with the composition of our growth across both brands and categories, as well as our cohort repeat rates. We expect year over year net revenue growth in the quarter to be between 22% and 24%. You can find more details on our Q4 outlook in our press release. Lastly, I will reiterate the early thoughts on 2025 that we communicated last quarter. We expect to deliver net revenue growth of 20% and adjusted EBITDA margin of 20%, consistent with our long-term algorithm. We plan to incur significant investments in Brand 3, Brand 4, and ODDITY LABS, and we do not expect to benefit from any material revenue contribution from these initiatives in 2025. With that I will turn the call back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Dara Mohsenian from Morgan Stanley.
Dara Mohsenian : So Lindsay, A, can you give us a little more detail on that strong start in Q4, and any more info on what you're seeing in the business so far this quarter? And then also just looking ahead, can you give us an update on Brands 3 and 4, when you really expect the revenue contribution from those brands to start to ramp up and the timing of the rollout as you look towards next year, and any spending upfront ahead of that, and how you think about the spending prelaunch?
Lindsay Drucker Mann : Thanks Dara. So Q4 started strong with continued good momentum from Q3. Q3 was an excellent quarter for us. Like, as I talked about, really our cohorts are performing at their best ever. As you know, Q3, Q4 are mostly repeat business for us, but we do have a lot of signals based on how we see our customers behaving and our users behaving. And the customer behavior that we saw in Q2, which was very strong, continued, and that includes repeat rates being at their best, AOV being at its highest, both first order and repeat order AOV. And that's because people are adding more items to their order. So we're increasing order size in terms of number of items. But also we're getting a nice positive mix tailwind from skin, in particular, and just general share of the higher-priced products, which is a great signal in terms of customer demand and their willingness to spend more for the value that we deliver. We're seeing growth in all of our product vintages. So our original 2018-2019 product lineup that we launched in the U.S. which continues to grow even as the newer product vintages that we released this year, last year, the year before, all of those new franchises that continue to layer on. But I guess, what I would stress is, that all of this really is according to plan. We have a lot of control over our business, as you know, and a lot of visibility and ability to predict and drive the ultimate outcome for the quarter. And so that's what we saw transpire in Q3, and that's exactly what we're seeing entering Q4 with high visibility to the strong finish that's reflected in our guidance.
Oran Holtzman : Yes. As for Brand 3 and Brand 4, both brands are being developed and progress according to the plan. Both will be ready second half of next year. The most important part is, for both brands we continue to use IL MAKIAGE and SpoiledChild user base to create new segments -- user segments for those new brands. So once we launch them, we launch it for existing user base, which is very important. And as for the progress, I will just give more sense about Brand 3. We are actively building and scaling the teams. We completing -- we completed the branding process. We set up our telehealth infrastructure, including physician network and pharmacists to streamline our user experience, and support the delivery of personalized treatment. We continue to do very large-scale consumer studies extensively testing our new product and treatment. Just because it's super personalized and customized it requires a lot of work. Vision technology has made great progress, including intensity, localization, classification. We are working on this technology for more than 2 years, and we see great results, and this is before launch. And lastly, generative AI models are being built to show expected progression over multiple week horizon for the treatment, which is something that we added recently, and we are very bullish about the ability to create better results and to set better expectations with our users. Brand 3, we don't share much. We are also not sharing too much internally, to be honest. Brand 4, sorry. But everything is according to the plan, has its own team, has its own CEO already, and we are progressing and it will be a great brand.
Lindsay Drucker Mann : Let me just add one more thing to what Oran said. We said this, but it bears repeating, because I've gotten this question before. For Brand 3 and 4, we don't expect any material contribution to our revenue for 2025, as we've talked about achieving 20% revenue. We don't need Brands 3 and 4 to achieve those targets either. As Oran said on the call, IL MAKIAGE was very strong and SpoiledChild very strong. And we believe IL MAKIAGE is on track to be a $1 billion business and same with SpoiledChild. So we still have tremendous amount of growth in our base. So the revenue contribution next year will be not material from any of our new initiatives. However, the cost structure will be material, which is why we're guiding to gross margin compression towards 20% next year.
Oran Holtzman : And the reason it's not going to be material, not because the brands are not going to be strong, just because when we launch it end of next year, second half, even if it starts really like great, still the base of ODDITY is huge. So to move the needle, it requires more than just a few months of a new brand.
Operator: Our next question comes from Andrew Boone of JMP Securities.
Andrew Boone : Lindsay, can you help unpack the top-line growth you gave us? Can we better understand the 9% AOV increase? And then if I think about unit growth kind of that's implied with that in the mid-teens. How do we think about unit growth for '25 as we think about the 20% formula? And then Oran, a bigger picture question on generative AI. We're seeing major improvements with Meta and Google being more relevant. I'm assuming that also applies to the targeting that you guys are able to do in terms of matching consumers. Can you help us better understand what that technology has accomplished for you guys and how you're using it?
Lindsay Drucker Mann : I'll start on AOV. AOV has been an ongoing tailwind for us although the primary driver of our revenue growth, both this year, each quarter and looking back has really been order driven. However, we are seeing AOV growth despite the fact that we've had this pretty big shift from being a mostly first order business to now being a majority repeat business and repeat carries a lower AOV. So we've had AOV growth despite the headwind from that shift to repeat. And the driver has been mostly people are -- we're growing order size. We're able to do that because we've expanded our product line, and our models are doing a better and better job every single day, matching people with the right products so that we can increase things like upsells and bundles, and we've been really effective at that. In addition, we've been able to increase AOV just based on mix. So a lot of the new product introductions we've had, including in skin, have higher price points associated. So it's been a lot of things, and again, it all kind of comes back to our model. We have not been big -- these are not from like straight-line price increases across products. We have taken those in the past, and we have that muscle, and we use them judiciously. But that has not been a meaningful driver for us at AOV. Going forward, as we look into the future, primary driver of our revenue growth will continue to be orders.
Oran Holtzman : You're right calling out Meta and Google for GenAI. And we said multiple times, like it's not only about the models, it's about the data. And what we have is so much data in our industry, and it allows us to build models that will help us do better job in personalization and customization. We are working a lot in that regard for Brand 3 because it's a treatment, and it's so important to set expectations and to make sure that we are doing a great job in customization, personalization. But again, early for us. We believe that it's going to help us in multiple areas, and the teams are testing. And when we have more to demonstrate and to showcase, we will.
Operator: For our last question, we have Youssef Squali from Truist Securities.
Nick Cronin : This is Nick Cronin on for Youssef. So as you think about the opportunity ahead in international expansion, how do you think about that, the size of that opportunity? And when do you think you'll start leaning into that? And then secondly, Oran, I think you mentioned skin and body issues for Brand 3. I'm just curious, does that imply you're considering offering GLP drugs? Or is it really more focused on the skin side of the house?
Oran Holtzman : I will start with the second question. We don't have any plans to do now GLP, so we started with body and skin. But again, no intention for GLP at that point. What was the second question, Lindsay?
Lindsay Drucker Mann : Well, just to follow up. When we refer to body issues, it includes things like eczema and other body conditions, not weight loss.
Oran Holtzman : International.
Lindsay Drucker Mann : Second question was on international.
Oran Holtzman : Yes, international. We are already very successful and high profitable in all geographies we've officially launched, which is Canada, U.K., Germany, and Australia. International, it's a huge growth opportunity for us. Looking at our competitors, we think that international can be 50% of our business over time. And we totally localized experience in each geography based on what we know, we are either #1 or #2 in each country that we opened so far. And what we continue to do is, we are ready to go in new markets that are fully localized, large geographies that the team already set up, test live in market, in thousands of orders to make sure unit economic and satisfaction is strong. And we are waiting. We are waiting because we don't need them yet, but it doesn't mean that we are not going to use it in 2025. We have always slow played the international market expansion to when needed revenue-wise and to make sure that we are very successful in those countries that we already opened. So again, international is a huge opportunity for us. I believe that over time, it will be more than 50% of the business. But for now, we are still focused primarily on the U.S. And thank God, we don't have exposure to the Chinese consumer, which is tough now.
Operator: So there are no further questions at this time. That concludes our Q&A session. I'd like to turn the conference over to Oran Holtzman, Co-Founder and CEO. Please go ahead.
Oran Holtzman : Thank you, guys, for joining. See you next quarter with another great quarter. Bye, guys.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.